Operator: Greetings, welcome to the Federated Hermes, Inc. First Quarter 2020 Analyst Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note that this conference is being recorded. I will now turn the conference over to your host Raymond J. Hanley. You may begin.
Ray Hanley: Thank you and good morning and welcome. Leading today's call will be Chris Donahue, Federated Hermes' CEO and President, and Tom Donahue, Chief Financial Officer. Joining us for the Q&A are Saker Nusseibeh from Hermes -- CEO of the International Business of Federated Hermes, and Debbie Cunningham, Chief Investment Officer for the Money Market.  During today's call, we will make forward-looking statements and we want to note that Federated Hermes' actual results may be materially different than the results implied by such statements. Please review our risk disclosures in our SEC filings. No assurance can be given as to future results and Federated Hermes assumes no duty to update any of these forward-looking statements. Chris?
J. Christopher Donahue: Thank you, Ray. Good morning all and welcome to the Federated Hermes earnings call. As we recap the first quarter our thoughts and prayers are with those who have been impacted by the corona virus in particular those who have lost loved ones and those recovering from this illness or caring for loved ones as they recover. It is important for us to acknowledge those on the frontlines especially our healthcare workers who work so hard and at risk to their own health to treat and care for the many thousands of impacted people by this virus. Your efforts are inspiring and we are all truly grateful.  Finally I want to acknowledge the efforts and resiliency of our own employees all around the world. Over 95% of our employees are working from home creatively adapting to the new environment and leveraging our technology investments. Federated Hermes is fully operational. We have maintained high quality service levels for our clients and have taken steps to safeguard the health and safety of employees during these trying times. The global pandemic has impacted all facets of life including markets and investing. We expect that sustainability concerns will continue to grow in prominence as investors navigate ongoing challenging market conditions. With our EOS engagement business we represent over $1 trillion of actively managed assets for engagement purposes up from about $877 billion at the end of 2019. We continue to develop and expand this stewardship and engagement business in the U.S. We have hired several new U.S. based engagers and are working on adding more. At Federated Hermes we are delivering leading ESG data research and proprietary tools to over 90% of our investment teams making us a leader in ESG integration and active responsible investing. We believe that these investment research tools coupled with engagement insights and our leading position in active stewardship through EOS are a key differentiator among active managers seeking to deliver long-term sustainable outperformance and this places us among the largest active managers with integrated ESG capability.  Now looking at our equities business, assets reached a record high of nearly 91 billion in mid February, close to quarter at 68 billion and were about 73 billion as of April 29th. For Q1 lower market valuations and the impact of foreign exchange led to over 90% of the decrease in assets while overall net sales of combined equity funds and separate accounts were negative, we did see positive net sales in a number of strategies. In fact we had 12 equity funds with net sales in Q1 led by the Kauffman Small Cap, Hermes Global Emerging Markets, Hermes SDG engagement, Hermes Global Equity ESG, and the large cap Kauffman Fund.  Using Morningstar data for the trailing three years at the end of Q1 one third of our equity funds were in the top quartile and half were above median. The Federated Emerging Market Equity Fund managed by the Cleveland team that came over as part of the PNC acquisition in the fourth quarter became a 5 star fund as ranked by Morningstar during the previous quarter. Looking at the strategic value dividend strategy recall that is subjective is to provide a high and growing income stream from high quality company. The domestic funds 12 months distribution yield was 5% which ranked it in the second percentile of its Morningstar category at the end of the first quarter. Overall combined equity fund and SMA net redemptions quarter-to-date through April 24th were 339 million.  Now turning to fixed income, assets reached a record high of 71 billion in mid February, closed the quarter at 65 billion and we're at 67 billion as of April 29th. For Q1 lower market valuations and the impact of foreign exchange led to nearly 60% of the decrease in assets. Bond market conditions changed dramatically mid quarter impacting investments and sales results. Through February we had net sales of bond funds of 340 million while in March had significant outflows 2.2 billion. In April bond fund and SMA's returned to net positive sales of 320 million through April 24th. We saw categories of funds that had produced net sales in the fourth quarter changed to net redemptions in the first quarter. These included high yield and other corporates mortgage backed, multi-sector and munis. At quarter-end using Morningstar data for the trailing three years we had four funds 13% in the top quartile, 15 funds 44% in the top half. In a turbulent quarter in the bond markets, each of our two biggest fund strategies improved their already solid records compared to peers. The institutional high yield bond fund improved from the top 23% for the trailing three years to the top 18% as of March 31st and remained five stars by Morningstar. In addition, the total return bond fund increased its trailing three year ranking versus peers from top 34% to top 29% for the same periods while moving from a three to a four star ranking by Morningstar.  Turning to private markets, we completed two acquisitions in the first quarter that helped to better position this area for long-term growth. In January, Hermes acquired MEPC Ltd from the BT Pension Scheme. MEPC is a leading UK commercial real estate developer and asset manager. This acquisition enhances Hermes' real estate proposition by adding specialist assets and development management expertise to its existing capabilities. In particular, it supports Hermes' core strategy of seeking to create urban regeneration schemes, which not only deliver attractive financial returns but will have a positive impact on the environment and communities in which they are located. As part of the acquisition, Hermes acquired globally recognized MEPC brand, which dates back to 1946. MEPC has been associated with many UK real estate developments and the brand will remain in use.  In March, we completed the acquisition of the remaining interest that was not previously held by Hermes in HGPE, a private equity and infrastructure manager. HGPE has a long record of success. We believe that full ownership of this entity improves our ability to build and execute growth plans. We are beginning to develop business plans with a view towards expanding HGPE's global private equities business and UK focused infrastructure business, including further expansion into the U.S. market over time.  Now moving to money markets, assets increased by about 56 billion or 14% in the first quarter to a record high of 451 billion, reflecting a flight to safety in turbulent markets and a significant yield advantage compared to the average deposit rate. Money market fund yields also compared favorably to applicable direct market rates and even longer duration securities. With the Fed move to a target range of 0 to 25 basis points, short-term yields, including those of money market funds, decreased over the quarter and are expected to decrease further. Tom will comment on the impact of minimum yield waivers in Q1, which were not material. Our money market mutual fund market share, including sub advised funds at the end of the quarter was 8.8%, about the same as at the end of 2019. Taking a look at our most recent available asset totals, with Federated as of the 29th of April and Hermes as of the 24th of April, managed assets were approximately 642 billion, including 480 billion in money markets, 73 billion in equities, 67 billion in fixed income, 18 billion in alternative, and 4 billion in multi asset. Money market mutual fund assets included above obviously were 362 billion. We began the year 2020 with about 850 million in net institutional mandates yet to be funded mostly in fixed income. Tom. 
Thomas Donahue: Thanks, Chris. The MEPC and HGPE acquisitions impacted Q1 reported results. MEPC results have not been previously included and HGPE results were previously reported as non-operating income for the portion owned by Hermes. The 452 million of acquisition related private market markets assets reported in the press release is from MEPC. HGPE had managed assets of 8.3 billion at the end of Q1. HGPE assets have been reported in the alternative private markets category and noted as assets managed by a non-consolidated entity since the acquisition of Hermes. Hermes' portion of HGPE financial results have been included in non-operating results since the acquisition of Hermes through February. Reflecting Hermes equity investment, beginning in March the results of HGPE are now fully consolidated and included within the various operating revenue and expense line items. The two acquisitions added about 5.4 million in revenues, of which 1.2 million is non-recurring and 3.8 million in operating expenses for Q1, including amortization of intangible assets. MEPC results are for the full quarter, while as mentioned, HGPE became consolidated entity effective March 1st.  Total revenue for the quarter was up about 1 million from the prior quarter, due mainly to the acquisitions as mentioned and from higher money market assets, which added about 3.4 million. These increases were partially offset by about 5 million less in revenue from fewer days in the quarter and from 1.5 million of lower performance fees. Looking at operating expenses, comp and related expense increased about 4 million from the prior quarter. In addition to base pay increases, the growth was due mainly to about 2.6 million of acquisition impact, 2.5 million from higher restricted stock and sales bonus expense, and about 1.2 million from seasonally higher payroll taxes. These increases were partially offset by lower severance pay of about 2.5 million as of Q4 included 2.7 million from the combining of certain administrative, operational, sales, and investment management teams.  Distribution expense increased about 3 million compared to the prior quarter, with about 4 million from higher average money market fund assets partially offset by a reduction of about 1 million from fewer days in the quarter. The increase in the other operating expense line item for Q1 compared to Q4, about 3.6 million was due largely to the net impact of revaluing U.S. dollar assets and foreign exchange hedges at Hermes at the quarter end spot rate. In Q1 this resulted in net expenses of 700,000 compared to a net credit of 1.8 million in Q4, a variance of 2.5 million. Amortization expense from the new acquisitions added about 600,000 to Q1 and is expected to be approximately 1.1 million for full quarter of both acquisitions. The impact of money fund yield related fee waivers in Q1 was not material. Based on recent assets and expected yields the impact of these waivers on operating income in Q2 could be about 3 million. Multiple factors impact waiver levels and we expect these factors and their impact to vary. These factors include changes in fund assets, available yields for investments, actions by regulators, changes in the expense level of funds, changes in the mix of customer assets, changes in distribution fee arrangements with third parties, Federated Hermes willingness to continue the fee waivers, and changes in the extent to which the impact of the waivers is shared by third parties. With so many volatile factors it's easy to see the $3 million waiver number changing. Non-operating expense increased by 16 million from Q4. Seed and other investments decreased in value by about 15.8 million compared to Q4s gain of 3.3 million. HGPE's carried interest was about 4 million lower than the prior quarter. The decreases were partially offset by 7.5 million gain in the HGPE acquisition. The 3.9 million change in net income attributable to non-controlling interest in subsidiaries from Q4 was primarily from the reduction in market value of consolidated funds. If you look at the seed losses after non-controlling interest and after tax they were about $0.09. The HGPE fair value gain after non-controlling interest and after tax was about $0.04, so combined they impacted EPS by about $0.05. Yesterday the Board added 3.5 million shares to our share repurchase programs. During Q1 we purchased 714,000 shares for $16 million with nearly all of this bought in the open market. We have 3.7 million shares remaining in our authorized share buyback programs. At the end of Q1 cash and investments were 381 million of which about 335 million was available to us. We used approximately $20 million of cash for the MEPC and HGPE acquisitions. In March we drew 100 million from our revolving credit facility and this week we repaid 25 million of it. Shawn Lee we would like to now open the call up for questions.
Operator: [Operator Instructions]. Our first question is from Mike Carrier from Bank of America. Please proceed with your question.
Michael Carrier: Hi, good morning and thanks for taking the question. First, just given the big increase in money market assets, getting back to the reserve environment can you provide some color on what is different versus what is similar for fee waivers on this time around just given some of the distribution relationship changes and some of the product changes versus the last time we were in a reserve environment?
Ray Hanley: Hey Mike, it is Ray. Just a couple of the differences, we've talked before about the mix of assets when you slot them into the expense levels of the various funds that they're in. And generally we have more of the assets are in the institutionally priced products in the 15 to 20 basis point expense cap range as compared to the last cycle and that's because back then we had higher broker dealer suite assets using money market products and over the past several years brokers have converted significant portions of that to deposit base suite models. And so that's one difference, the other difference -- significant difference would be the growth over the last couple of years has been weighted to the government fund side. As you know the prime products were impacted significantly, the institutional prime product by the 2014 rule changes that took effect in 2016. And we've had good growth on the prime side but the proportion of assets in government portfolios would be higher than it would have been in the prior cycle.
Michael Carrier: Okay, thanks. And then Tom just on expenses, you realized very volatile backdrop but if you can provide any expectations whether it's on comp or some of the non-comp items either given kind of an improving backdrop and getting back to work or a longer kind of recessionary backdrop in areas that you can flex, thanks? 
Thomas Donahue: Yeah, sure Mike. T&E and conferences are not happening right now. Travel and entertainment the Q2 in fact has to be lower. The bonus numbers as you know I have stopped talking about the future on that, we had -- as I said in my comments higher sales bonus. We're happy with that because that's because they had higher sales. What happens this quarter we'll see, we also picked up as we mentioned the expenses in comp from HGPE so that will show up as higher and we only have one month of it. So that'll show up as a higher number. And all the rest of the variable things based on performance and how we're doing we'll see what happens. In terms of flexibility, a lot of the things flexed with the market and so we don't have to make draconian -- take draconian actions. It's a pretty good set up here in terms of controlling and managing our expenses.
J. Christopher Donahue: Mike, this is Chris. In terms of your comment about getting back to work I have to observe that we are already back to work and I've never stopped being back to work. And in fact in the first quarter on the sales side all of the numbers in gross sales Ultrashort, fixed income and equity were all the highest average monthly gross sales ever which means that we're in the game. Now we've already talked to you about that net. The next thing I would mention is that there's been an increase in community inside the sales force as they recognize that the total team sports has been a lot more sharing of what works and the same has been true on with the relationship with the client. The communication loops have been stronger and the information that's been put out by the investment people at Federated has been very, very well received by the investing community. I just thought it was important to mention those factors.
Michael Carrier: Yeah, I know that's helpful. I didn't mean back to work, everyone is working, just meant back to kind of more normal operations but thanks a lot.
Operator: And our next question is from Ken Worthington from J.P. Morgan. Please proceed with your question. 
Ken Worthington: Hi, good morning. In terms of fee waivers, the money market funds are currently in the process of seeing investments mature and they're being reinvested in securities that is prevailing interest rates and yields. Maybe you can help us better estimate future fee waivers, given the asset size today and the mix of business and current reinvestment rate, is it possible for you to give us a range of what these fee waivers are going to look like, again if we just sort of use current stock assets today, reinvestment rate, mix etc, because I assume 3 million is not that steady fee waiver level? 
Ray Hanley: Ken, it is Ray. I will comment on the waiver end of things and then Debbie can comment on reinvestment and yields and what that looks like going forward. In terms of waivers as Tom indicated there's a lot of potentially -- lot of volatility even coming up with a number for this quarter because rates move around, asset composition moves around. It's not linear, you get to a point where you're just below the funds, just above the funds expense ratio and so you have no waivers and then you drop a couple of basis points and the waiver switch gets turned on. So, there are so many variables that it's not appropriate for us to try to forecast it out over longer periods of time. Of course you can look back at what happened over the years where we did have waivers recognizing differences in the asset mix etc that I pointed out before. But, Deb do you want to comment on how reinvestment is looking going forward.
Debbie Cunningham: Certainly Ray and thanks for the question Ken. When we look at our government products as well as our prime products as well as our new products they all have positively slow deal curves which is -- right now which is positive which is a good thing. On the government side we've probably got steepness of anywhere from 15 to 20 basis points depending upon whether you're looking at treasuries or government agencies, fixed or floating albeit these are at extremely low levels. We do believe that a couple things could happen there to improve that over the next months and quarters to include a huge amount of supply that is in the market from a Treasury perspective funding, the Cares Act and other programs by the Fed and Treasury. And more of that to come with a lot of that being centered directly in our space, the liquidity space.  We also believe that a technical adjustment from the Fed could be forthcoming. It did not occur this week at the Fed meeting but we do believe taking the lower bound where the RRP currently sits at 0 up to 5 basis points which is where that rate stood through the last 0 rate environment from the Fed. And we do believe that to be a likely potential. All of that is beneficial to where we're doing business on an overnight basis obviously but also where we're reinvesting as securities mature. The smaller portion of our asset mix that being prime and municipal have spreads that are anywhere from 50 to 70 basis points depending upon what securities you're looking at fixed or floating, commercial paper, different types of short-term securities, CDs. So the reinvest there is actually a much simpler process and the ability to keep out of waivers and keep above that the 0 rate environment is simpler. However again going back to what Ray mentioned, our mix of assets from a government to non-government standpoint at this point is heavily skewed towards the government space.
Ken Worthington: Okay, and maybe as a follow-up, curious to see if you think the Federal Reserve will act to the recent crisis in terms of implementing new rules or regulations around money market fund, so clearly the Fed has had to step in again and provide support again to money market funds, after 2008 the Fed stepped in with sort of new rules expressing frustration with having to come in and support the money market fund business, so what are your thoughts this time around? Do we need either new rules to be implemented, do we need existing rules to be wound back down because the new rules actually did seem to contribute to some of the issues we had this time, so what do you expect the reaction to be and did this damage the ability for money market funds to be a viable structure?
J. Christopher Donahue: So money market funds continue to be the eighth wonder of the world in my opinion and the question you asked of course returns to the thrilling days of yesteryear when even back then the arguments were not based on what was needed in the marketplace, they were based on political considerations namely that the Fed decide -- well it is really Treasury Secretary decided to slap insurance on the funds back then when all that was needed was liquidity. The industry, us in particular, others were clamoring for liquidity and that's the role of the Fed is liquidity. When you look at what's happened recently, what happened was they put out trillions of dollars of activity and an infinitesimal percentage of that was utilized by money market funds at the beginning in the prime space. And once again it was the quest for liquidity where the Fed as it has done on many occasions in the past and with other programs is in charge of making sure that these markets actually work.  In addition especially on the prime side there is a great thirst to get companies that are employing people financed on the short end and money market funds are a wonderful way of doing this. And so they approach this with mixed views at various times. So to us nothing is needed more on the money market fund side. In fact it would be better if they went back to allowing the money -- the Prime Money Fund to have a $1 net asset value and then you could use them in sweep products and increase the financing for corporations and on the municipal side. There is a huge to do going on now about financing municipalities and local governments and one of the best ways to do this on the short side is both to allow them to invest in a prime fund and to allow them to issue into money market funds on the municipal side. So to me the money market funds continue to be a beautiful viable system and they are not in need of any other attention.
Ken Worthington: Great, thank you very much.
Operator: And our next question is from Patrick Davitt from Autonomous Research. Please proceed with your question.
Patrick Davitt: Hey good morning, how are you? So, it sounds like there was some good growth in the EOS assets in the quarter, could you kind of update us on how to think about the economics of that growth and you mentioned beefing up the U.S. sales force, could you give us some color around what the mix between U.S. and non-U.S. clients is?
J. Christopher Donahue: Okay, I will talk a little bit about the concept and then Saker will fill in on that breakdown that you're looking for. The EOS is basically our way of showing that engagement really works and yes, it's great to be at a trillion and that growth is important. It is also important to note that we were able to review over 1000 companies on this engagement basis. This is in addition to what everybody does on the analyst side in terms of contacting companies. And the whole point of all of this is to come back to that point we made earlier namely that it's our belief that sustainable investing is going to be the most helpful thing in terms of long-term growth. I'll let Saker comment on the other aspects of EOS.
Saker Nusseibeh: Thank you very much. So EOS just to EOS to recap we do two functions. One is we represent clients who've got investments in industries. As long as they have investments in industries and they want to engage actively on the assets to ensure that we look after them and they create sustainable wealth over the long term, they will have a need for our services. The fact that they have gone over a trillion makes us the largest active stewards in the playbook and this is a growing segment of the market. In terms of split between North America and the rest of the world roughly speaking 60% of assets are based out of North America and the rest are spread from around the world and that's not just Europe but also from emerging markets and from developed Asia and New Zealand and so on. The wide and growing asset base and it's in demand in Europe obviously because it has been the longest but there's been increased demand elsewhere particularly in Asia and slowly coming to North America. And of course fundamentally it gives us right across Federated Hermes, a stronger and better insight which added to our ESG metrics allows us to have more fundamental data to our stock picking ability and create performance over the long-term.
Thomas Donahue: Patrick, this is Tom. On the economics of it we're looking at EOS as a growth business and if you talk to our investment people particularly John Fisher when we were discussing the acquisition of Hermes that was his number one reason for being interested in purchasing Hermes was because the ability to get information from EOS in to help our portfolio managers make better decisions and get better performance in our funds.
Patrick Davitt: Got it, thank you and my follow-up is on the money fund side. Could you break out the growth quarter-to-date between prime and govie because I do think prime flows have recovered meaningfully from March? And then more broadly maybe for Debbie, if there's any sense of how much of the growth we're seeing broadly in the industry is being driven by kind of bank line drive corporate versus investors parking cash on the sidelines?
Thomas Donahue: Patrick just to comment on the on the quarter-to-date portion, I think from March 31st and this is just the money fund supporting the separate accounts side off to the side, the government funds are up about 22 billion and the prime funds are up about 3 billion. The munis are up a little over a 1 billion so again that's just within that 2a7 money market mutual funds of course is the biggest part of business.
Debbie Cunningham: And Patrick as far as the growth in assets go and the diversification of the underlying clients I don't believe very much is actually due to bank line draws. We've been asking that question and our answers that we've been getting have been resounding those. The diversification of the flows is pretty substantial. It's corporate, its financials, non-financials, it is the institutional as well as the retail side. It's universities, it's various other municipal entities. It's different types of trust accounts through the banking system, so it's really pretty diversified and I don't believe much at all can be attributed to the drawdown in bank lines that has been occurring for some corporates.
Operator: And our next question is from Dan Fannon from Jefferies. Please proceed with your question. 
Daniel Fannon: Thanks. My question is back on fee waivers and I understand all the moving parts in terms of trying to project what they could be but I guess the 3 million that you are assuming is that based on AUM levels that you gave the 480 billion or just trying to get a sense of what the 3 million in corporates that we understand how to think about maybe prospectively from that? 
J. Christopher Donahue: Yeah, we are saying it's current assets and our team's expectation on rates for the next quarter without asset growth, without further asset growth.
Thomas Donahue: And Dan just on the asset part we're looking at the funds not the separate account so it would be off of the fun portion approximately 362 billion most recent total. 
Daniel Fannon: Great and just on the forward projections based on the curve and what those kind of incremental yields that were cited before or is it firm expectations that you guys might differ from that?
J. Christopher Donahue: No, we're going with Debbie's team's forecast. So Deb if you want to expand on that go ahead. 
Debbie Cunningham: Certainly, we're forecasting a continuation of positive yield curves in all sectors. We are thinking that on the government side we could see a back up of maybe call it 5 to 10 basis points due to supply and we're contemplating that we could get an extra 5 basis points in overnight at some point if the Fed makes that technical adjustments that I mentioned with regard to RRP. So, those are all expectations that are built into our forecast at this point.
Daniel Fannon: Great, thank you.
Operator: And our next question is from Robert Lee from KBW. Please proceed with your question.
Robert Lee: Great, good morning. Thanks for taking my questions. Hope everyone in the family are doing okay in this environment. Maybe back to money funds, I am just curious maybe for you Debbie, how do you think some of these assets will be just as yields come down on particularly government funds and spread to bank deposits, it helps as a matter substantially, I mean do you spend some amount of it to revert back to the banking for some over the coming quarters. Just trying to get a sense of that?
Debbie Cunningham: Sure, even as the yields on our products come down they're still above what is available for the most part. And on the bank deposit side those rates have also been coming down. They follow the market down much faster than they follow interest rates up. And as far as the expectation of stickiness, what I mentioned before growth in assets has come in a very diversified way, that generally results in more stickiness of those assets staying around. It's been a mix of existing customers as well as new customers. New customers that are diversifying away from either the current providers that they have in the mutual fund business or diversifying away from other competing products and into the money fund business. But in either case I think that diversification it again adds to the likely sticky nature of those assets.  The other thing that I would mention, once investors are comfortable moving a portion of their liquidity assets into money market funds, the experience is generally one that is good and substantial. They achieve daily liquidity at par really on pretty much a moment's notice for both purchases and redemptions. If they want to add to their asset mix they purchased and subscribed into a fund and that's taken. If they want to redeem we provide them back with their liquidity immediately. So I think that liquidity on a constant basis is really something that is noted by investors. It was noted in the first quarter, it continues to be noted in the second quarter and basically receiving that at par with the market return is what they're continuing to look for. 
J. Christopher Donahue: And Bob let me add that if you remember our charts that we have been using since 1998, what seems to happen is when you get these run ups in assets yes, the top of the hump may come off but you end up with higher highs. And thereby lower lows over many decades of this type of activity. And that happened in 2008-2009, it happened earlier in the 2000s and it happened back when we were all children. So we expect that kind of a chart to happen even though things are obviously different.
Robert Lee: I appreciate that. And maybe a quick follow up. And understanding that Hermes and the U.S. business in particular are kind of -- growth and contributing to other things but can you help us understand how Hermes itself maybe contributes to the overall to the bottom line and it was obviously was part of the lower margin business and earned 60% of it not 100%. So just trying to get a sense of that part of business proceeds to pay how that kind of flows through to the bottom line? 
Thomas Donahue: Well, the first thing I would mention is the whole concept of the combination is wrapped up in this name change is the real message in branding. And yes, there will be many, many, many points under that but the main thing is that you have two really strong investment management firms that are combining to step out into the future with success. So you take -- the U.S. is view of this where we had a great response from clients with our new funds. And this was based on Hermes successful strategies. So these funds were over 70 million at the end of the first quarter and about 44 million of that was externally sourced. By the subtraction method the rest was seed assets. And we're evaluating other launches and we're working on our first SMA product using Hermes strategy. And as I have talked about many times we have begun to run the traps on the institutional side with many of Hermes mandates. So this is one whole package of activities.  And the other thing I would hasten to mention is that the enthusiasm of the sales force for having a complete array of international type products. When you combine the Hermes activities with the Cleveland activities with the other international funds that we had managed out of our New York office we have a real excellent complementary family of 9 funds. That's going to add in the recent MEPC brings a lot of exciting things to Saker and the real estate team. The -- which Chris mentioned, the HGPE getting total control of that and to be able to commit to growth there is really exciting. In terms of economics from the transaction remember Hermes got hit on the emerging market front not too long after the deal. And so, that just decreased their revenues but Saker manages the business holistically and has adjusted things quite professionally through the whole acquisition. And we again like what Chris just said we changed the name of the company to Federated Hermes, we couldn't be more excited about it.
Saker Nusseibeh: Can I since this is both about the Federated Hermes so maybe I should just maybe answer by giving a flavor. So the first thing I would say is don’t mix up the EOS business with the rest of the Hermes business. The EOS business does have a margin but in the growth phase in fact investing in professional -- that margins get divided somewhat but in fact you bring it back over time. But the key impact of that business as it was said by Chris and others is the insight from fund managers which allows us to create performance which allows us to attract more clients into standard funds that actually bring you higher revenue. In terms of the rest of the business, we ended the quarter in Federated Hermes International with about 33 billion in English Pounds of assets under management. Today on the exchange rate is just over $41 billion. Look at the composition of this and without giving anything away, most of it is very high activity, like all of it is very high active share, specialist performance related funds. And you would expect that to be half [ph] the numbers with sort of margins that you would associate with such high margin business.  Our private market business is the same, but payment is different. You have seen through the account several times mention of carry and of course carry comes under performances there but the margins if you add the carry plus the fees plus performance fees this is what you'd expect from long term creation of alpha. So, notwithstanding the size Federated Hermes international is in the space which is in fact one that you'd expect to have the margins associated with high up performance. On the down side if you like it is also in the space which is very good into movements into markets because it is equity and fixed income I am leaving aside private markets now. So of course there are gyrations as Tom alluded to the pursuit of emerging markets and soon after the acquisition. But again we managed the business as a whole, we managed it dynamically to protect our margins, and we manage it to continued to grow our business. And the point that I think we're trying to make, to emphasize here that this acquisition was never just about acquiring the assets. This acquisition was a part acquired two things, to know high which is being transferred now to our colleagues in Pittsburgh, that allows us to combine, to enhance our return. And more importantly it allows us to become the lead in what is clearly going to be the most exciting growth part of the market for the next several years probably seen by the fact that all the other major asset managers are trying to enter into this sphere which in fact I would claim we did not create amongst the very early pioneers of the industry. So it is an exciting and a high growth margin business in time, futures aside.
Robert Lee: Thank you for taking my question. Appreciate the full answer. And stay safe now. 
Operator: Our next question is from Bill Katz from Citigroup. Please proceed with your question. 
William Katz: Okay, thanks very much. So just coming back to money markets so that I understand this, I'm just a little -- trying to keep up with the math. Can you walk through what the average fee rate might be for the government versus the prime or what the incremental reinvestment rate is, I'm just not following all the math, I apologize? 
Thomas Donahue: Bill, the fee rates across the -- all of the money markets are a little under. In the last quarter we were a little bit under 8 basis points for advisory fees. And there are not meaningful differences between the categories. We don't really price the funds in that matter. So that's the average across all types of money funds. Now, in terms of fund yields Debbie, you could comment on that.
Debbie Cunningham: Sure, maybe just to add a little bit of a different bent to it. Most of our products are run in a bar belled fashion where we have a substantial amount in either floating rate or very short-term overnight to one week type of paper. And then we offset that from a weighted average maturity target perspective out in the 6 to 9 to 12 month sector for fixed rate purchases. So generally speaking, overnight rates at this point are anywhere from 2 to 10 basis points, depending on what sector you're looking at. And, one month rates are probably in the neighborhood of 7 to 30ish type of rate. When you go out to the 12 month sector of the curve, which would be the part where we're adding incremental basis points and yield to the products in the Treasury space, right now you're at 15 or so basis points. We think that's been as high as 25 in the last several weeks and we think it can get back there again with the additional supply from the marketplace in Treasury securities. And then, for prime type securities, you're looking at somewhere in the neighborhood of 70 basis points or so, 70 to 80 basis points. We don't expect that to back up. In fact, if anything that might contract a little bit. But it's the mixture of those short-term overnight to one month type of securities in the front end of the barbell and where we think we might get an additional five basis points if RRP adjusts at some point. It's not a given, but we think it is potentially likely. And then the current curve and expectations for that curve on the long end of the barbell 6, 9 and 12 months that are getting us to the approximate yields that we think we will get to from our underlying portfolios standpoint. And then what the resulting amount of waivers that might produce. 
William Katz: Okay, that's helpful. Thank you very much for that. And then just the second question a little bit of a multipart, I apologize. Appreciate if you could give us some flows for equities into the new quarter, so under what conditions do you think that the equity business could actually bounce back to positive, I certainly appreciate the acute negative in the first quarter, it must have been pretty robust into the new quarter, how much of a lead leg do you think you need? And then what's the existing strategic value AUM and maybe how are those flows in both the first quarter and in April? Thank you.
Thomas Donahue: Okay overall I will do all the overall equity situation, Ray will give you the stats on the strategic value recent. The equity business is now really a function of how people respond to getting back to work and open up the economy and all of those things. So it is the giant macros out there. However, what I would note from our sales force is that the clients and the salespeople have balanced very well working from home, and they very much appreciate the thought leadership that we're getting and what we're seeing. Now don't go writing this off as a big, hairy trend, it is the beauty of high active share, active management, selecting winners and losers in portfolios. And so some of the clients are actually starting to look at their passive positions and looking towards active management. And we see that when you see people looking at the Kauffman entries, which are high active share, pick good companies.  And then, you see other things as well. You see people coming into high yield and you see people looking at a high dividend on a strategic value and so you see people starting to tip toe in, as they have done in the past. And so both high yield and strategic value in some way can be viewed as tipping into the market. But we aren't really able to predict when that will happen. We rely rather on the franchise for all seasons and offering solutions to where our 10,000 clients are and how they can help their clients.  Now, in specific answer to the strategic value flows, so the asset level for the domestic strategy which is where the bulk of the assets are the recent total as of a few days ago would have been about 25 billion and that's about two thirds in the SMA and one third in the fund. And the redemptions, net redemptions through April 24th were a little over 200 million for the whole strategy. And that compares to a little under 400 billion for the month of March recognizing April is not closed and we will have -- we tend to have some of the models that report late in the month. But 200 versus 400 for March. And I would point out that for the month of February, we were very close to breakeven. The outflows were a little over 30 million. So you can see the dramatic impact on this strategy and really across many parts of the industry from March, less so in April. 
William Katz: Thank you very much. 
Operator: And our next question is from John Dunn from Evercore ISI. Please proceed with your question. 
John Dunn: Good morning. Just a quick follow-up on Hermes, maybe could you just give us more color on where we are in the development of the institutional sales cycle for Hermes in the U.S.?
J. Christopher Donahue: Okay, this sales cycle is an 18 month sales cycle, and Corona time is not helpful to it. There are still -- we still get RFPs and there's still that activity going on, that put a little pause in it. But we are seeing a lot of good interest in it and expect big things out of it once all of this marketplace sets down. And I'd ask Saker to put other color on it. 
Saker Nusseibeh: Sure. So if you're looking at the cycle outside of the states, which is the one that Federated Hermes International has some control of effectively we've been roughly running just about a neutral position so far. And we have judging by the number of all the fees that was sitting up at present which are over 100, I would say that the likelihood is we'll see some more money coming in. And this goes back to what Chris said right at the beginning, this period of working from home has been very productive. Yes, we have not been able to travel. Remember, we have a wide agreement to cover not just in Europe, but also in Asia. We have offices there, too if you remember, and Australia. But we are in fact raising assets from them. We've done that by raising interest by contacting our clients -- potential clients by phones and making presentations on phone. And to give you an example, we on boarded a major client this morning, which is an interesting sort of faith in our business. So I think that our sales cycle has so far been all right. The key question is, we need to travel to be able to continue to prospect for new clients and that all comes down to when does the lockdown reduce enough to allow business travel and that we'll have to wait and see. But the growth potential both here and in North America is huge. Why? Because these are products that are varied in type all the way from high-yield to equities and to private markets. But all alpha generating off the fees and costs and that's what makes sense for investors. And as Chris says it is not just one type of strategy, but a franchise full of seasons. And the investment, the investors will come back to the market. The question is, how quickly can we go out and prospect some more to add to the ones we're talking to by phones and by remote working. I hope that answers the question. 
John Dunn: Yeah, got it. And then just thinking that smaller money market players and maybe opportunity for you guys, in an environment like that is it just tougher with yields and waivers or is it that everyone is getting accurate and people realize maybe it's a good business to have even if you're small or does it accrue to your benefit? 
J. Christopher Donahue: Well, over time what we have seen is that there's never been an immediate catalyst that causes people who don't have a whole lot of assets to throw in the towel. As I said on these calls before, if you have control over the redemption, you can run a small money fund and that's a fine thing because you're not going to get crushed on the redemption side. If you look at these statistics, the top 25 money market fund purveyors have over 90% of the assets. And I think there are maybe 55 or so people listed who have money funds. And the ebb and flow of that is a constant look on our part for those who wish to find what I call a warm and loving home on the money market funds side. And periodically there are things that cause the companies to do it. The CFO gets to look at it, the CEO takes a different strategy, things change. And so to us, the bottom half of that chart is always available for acquisition purposes. And then periodically some of the bigger ones decide they want to move in a different direction. 
Debbie Cunningham: This is Debbie too. Just to add color to that, in the context of value add and in money market land, that may only be a basis point or two, but it's incrementally valuable to be able to garner a few extra basis points in the products that you're choosing for your liquidity and your cash. And when you're a larger player, you're able to find different structures and different counter parties. Maybe from a repo perspective that give you an extra one or two basis points or that give you extra supply. You're able to review if the structures of asset backed commercial paper that again smaller players may not have the credit analysts, the staffing to be able to undertake those. And the extra one or two basis points that you're getting in those structures, along with the high quality that comes along with them, is valuable to the underlying clients. So size definitely has some advantages in this aspect of the market. 
John Dunn: Very helpful, thank you. 
Operator: Next question is from technically Kenneth Lee from RBC Capital Markets. Please proceed with your question. 
Kenneth Lee: Hi, good morning and thanks for taking my question, just one on the minimum yield fee waivers. I'm wondering if there's been any initial discussions on potential cost sharing of the impact with distribution partners and whether you would expect a similar kind of percentage of cost sharing as historical? Thanks. 
Ray Hanley: Hey Ken it is Ray. So we are proceeding in the same manner that we did with the minimum yield fee waivers in the prior cycle. And that is at the fund level and looking at the proportion of the revenue that goes to the intermediary compared to our advisory fees and that ratio essentially determines the sharing of any waivers that are necessary to keep the yields at least at zero.
Kenneth Lee: Great, that's helpful. And just one follow up, if I may, just given the announcement of the transactions, the MEPC and the HGPE wondering if there is any other update around the outlook or timeframes for potentially reorganizing other controlling structures of some of the other PE or infrastructure ones in the Hermes? Thanks. 
Ray Hanley: I didn't follow that last part of your question Ken, restructuring what? 
Kenneth Lee: Just reorganizing some of the controlling structures around some of the other private equity or infrastructure GPs within Hermes? 
J. Christopher Donahue: Okay, so the ownership, the key thing that happened here was the ownership that we did not have, we now have. And so all of those things underneath the private market have that ownership structure. Now, if you're talking about the individual fund we've mentioned before, the HGPE we raised a bunch of money from existing clients, over a billion dollars. That's proceeding. We're looking at the various pause to the infrastructure in terms of how to structure that for growth for the future. And if Saker chooses to opine on what else might be going over there, he's welcome to. 
Saker Nusseibeh: Thank you. So we had a very successful closing, first soft closing of our direct lending product in the middle of the corona virus, which was I think a great achievement for our total feed but I was very good. We are in negotiations for the large institutional clients for a large mandate to do with a property lending and equity generating income portfolio. That's in the middle of negotiations, but it tells you the potential, whether that particular one comes true or not. But it shows you that there's potential there. But in terms of restructuring, I think with the tightening up of the ownership of the small part of the HGPE that was not owned by the group that has been cited is now part of the whole that allows us then to invest more in sales and concentrate on distributing that to the specific private equity business, particularly in North America, entitled to bringing our property development expertise and business to North America as well. I hope that sort of gives you an idea and answers part of the question, thank you. 
Kenneth Lee: Very helpful, thank you very much and hope everyone stay safe. 
J. Christopher Donahue: Thank you. 
Operator: And we have reached the end of the question-and-answer session, I will now turn the call back over to Raymond J. Hanley for any closing remarks.
Ray Hanley: Well, thank you very much for joining us today and we wish you safe and stay safe and stay healthy. Thank you. 
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.